Executives: David Moneta - Vice-President, Investor Relations and Corporate Communications Russell K. Girling - President, Chief Executive Officer & Director Donald R. Marchand - Chief Financial Officer & Executive Vice President Karl Johannson - President-Natural Gas Pipelines & Executive VP William C. Taylor - Executive Vice President & President, Energy Division Alexander J. Pourbaix - Executive Vice President & President, Development Paul Miller - Executive Vice President & President, Liquids Pipelines
Analysts: Paul Lechem - CIBC World Markets, Inc. Robert Kwan - RBC Capital Markets Linda Ezergailis - TD Securities Andrew Kuske - Credit Suisse Securities (Canada), Inc Matthew Akman - Scotia Capital, Inc. (Broker) Robert Catellier - GMP Securities LP Robert Hope - Macquarie Capital Markets Canada Ltd. Steven I. Paget - FirstEnergy Capital Corp. Benjamin Pham - BMO Capital Markets (Canada) Ashok Dutta - Platts, Inc. Nia Williams - Thomson Reuters Corp. Rebecca Penty - Bloomberg LP Dan Wallach - Beaumont Enterprise Rob Gillies - The Associated Press, Inc. Geoffrey Morgan - The Financial Post Kelly Cryderman - The Globe & Mail, Inc. Lauren Krugel - The Canadian Press
Operator: All participants please standby, you're conference is ready to begin. Good day, ladies and gentlemen. Welcome to the TransCanada Corporation 2015 Third Quarter Results Conference Call. I would now like to turn the meeting over to Mr. David Moneta, Vice President, Investor Relations. Please go ahead, Mr. Moneta.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks very much and good morning, everyone. I'd like to welcome you to TransCanada's 2015 third quarter conference call. With me today are, Russ Girling, President and Chief Executive Officer; Don Marchand, Executive Vice President Corporate Development and Chief Financial Officer; Alex Pourbaix, Chief Operating Officer; Karl Johannson, President of our Natural Gas Pipelines business; Paul Miller, President of Liquids Pipelines; Bill Taylor, President of Energy; and Glenn Menuz, Vice President and Controller. Russ and Don will begin today with some opening comments on our financial results and certain other company developments. Please note that a slide presentation will accompany their remarks. A copy of the presentation is available on our website at transcanada.com, and it can be found in the Investors section under the heading, Events & Presentations. Following their prepared remarks, we will turn the call over to the conference coordinator for your questions. During the question-and-answer period, we'll take questions from the investment community first, followed by the media. In order to provide everyone with an equal opportunity to participate, we ask that you limit yourself to two questions. If you have additional questions, please re-enter the queue. Also, we ask that you focus your questions on our industry, our corporate strategy, recent developments, and key elements of our financial performance. If you have detailed questions relating to some of our smaller operations or your detailed financial models, Lee and I would be pleased to discuss some with you following the call. Before Russ begins, I'd like to remind you that our remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reports filed by TransCanada with Canadian securities regulators and with the U.S. Securities and Exchange Commission. And finally, I'd also like to point out that during the presentation, we'll refer to measures such as comparable earnings, comparable earnings per share, earnings before interest, taxes, depreciation, and amortization, or EBITDA, comparable EBITDA, and funds generated from operations. These and certain other comparable measures do not have any standardized meaning under GAAP and are therefore considered to be non-GAAP measures. As a result, they may not be comparable to similar measures presented by other entities. These measures are intended to provide you with additional information on TransCanada's operating performance, liquidity, and its ability to generate funds to finance its operations. With that, I'll now turn the call over to Russ.
Russell K. Girling - President, Chief Executive Officer & Director: Thanks, David, and good morning, everyone, and thank you very much for joining us. I'm pleased to report today another quarter of strong consistent financial results from each of our three core businesses, reflecting the high percentage of contractual and regulatory underpinning of the revenues across our diverse fleet of critical energy infrastructure assets. Only a small portion less than 10% of our cash flow is exposed to commodity price volatility, primarily in the Western Power business in Alberta and the U.S. Northeast Power business, where asset portfolio primarily consists of the lowest cost base load power in those regions. Despite the continued weakness of Alberta power prices over the last nine months, we've seen comparable earnings and funds generated from operations rise 8% and 9% respectively compared to the same period last year. During the quarter, we continued to advance our portfolio of shorter-term critical energy infrastructure projects. We acquired the Ironwood power plant in Pennsylvania, and we initiate measures to improve our efficiency and streamline our costs. These initiatives combined with the stability of our base business gives us the capacity to continue to grow our dividend at 8% to 10% through 2017. In addition, we continue to advance our C$35 billion portfolio of longer term projects, including receiving all of the required permits for our Prince Rupert Gas Transmission project and including an agreement with Eastern Canadian local gas distribution companies to allow the conversion of the eastern section of the Canadian mainline for energies project. These larger scale projects combined with the ongoing investment growth in our core businesses will provide us with the opportunity to enhance our growth rate in earnings, cash flow, and dividends for many years to come. I'll spend the next few minutes highlighting our progress on many fronts during the quarter and then our CFO Don Marchand will follow with more details on our financial performance in the third quarter. TransCanada reported net income of C$402 million or C$0.57 per share in the third quarter. Comparable earnings for the quarter were C$440 million or C$0.62 per share. Comparable EBITDA was C$1.5 billion and funds generated from operations were C$1.1 billion. Earlier today, our board of directors declared a quarterly dividend of C$0.52 per common share for the quarter ending December 31, 2015. TransCanada has raised the dividend in each of the last 15 years from an annual C$0.80 in 2000 to the current C$2.08, a rate which is 8% over last year's rate. As I said, looking forward continued strong performance of our core businesses and C$12 billion of visible near-term growth is expected to provide the foundation to continue to grow our dividend at an annual rate of 8% to 10% through 2017. So to get to the specifics on our growth initiatives, I'll start with our Gas Pipelines. Nearly C$7 billion of new supply and demand facilities are under development on our NGTL System. Approximately C$2.8 billion of those facilities have received regulatory approval and C$800 million of those facilities are currently under construction. And additional C$500 million are currently being reviewed by the regulator. NGTL continues to be the pipeline of choice for connecting new production volumes in the Alberta Deep Basin, Montney and Duvernay regions of the Western Sedimentary Basin. We received a very positive response to our 2008 (6:18) NGTL open season that we anticipate will result in a substantial volume of new receipt and delivery contracts. This additional contracted demand for system capacity will increase the overall capital spend on the NGTL System beyond the approximate C$7 billion that has been previously announced. We expect to be able to provide more specific updates on the NGTL open season in the coming weeks. On our Prince Rupert Gas Transmission project, we announced just days ago, that we received the final permits from the B.C. Oil & Gas Commission, giving us regulatory approval to construct and operate the pipeline. We now have the full complement of 11 pipeline and facility permits required from the B.C. Oil & Gas Commission. Just to remind you, we've also received environmental permits for the project from B.C. Environmental Assessment Office in late 2014. During the third quarter, we also continued our engagement with Aboriginal communities and have now signed project agreements with nine First Nation groups along the route and expect to conclude more in the coming weeks and months. We remain on target to begin construction of the Prince Rupert project following confirmation of a final investment decision from Pacific Northwest LNG. On our Coastal GasLink project, we received eight of the 10 permits from the B.C. Oil & Gas Commission. We anticipate receiving the remaining two permits needed in the fourth quarter of this year. The Coastal GasLink project has also received its environmental permits from the B.C. Environmental Assessment Office. Like Prince Rupert, we are continuing our engagement with Aboriginal communities and have signed project agreements with eight First Nation groups along that pipeline route, and again, we look forward to concluding additional agreements with these communities. The project team continues to work through the regulatory process with a focus on achieving a positive final investment decision for the project. In Mexico, we are currently investing approximately C$1.5 billion constructing two large natural gas pipelines, further building our presence in that country. The C$1 billion Topolobampo natural gas pipeline is now 70% complete and the C$400 million Mazatlan project is just over 80% complete. Both pipelines are located in Northwest Mexico and are expected to be operational in 2016. And we continue to pursue additional opportunities for new energy infrastructure projects in Mexico. Moving over to crude oil, after announcing in early April that we would not build the marine terminal at Cacouna, in Québec, we continue to review potential alternative export terminal options with our shippers and other stakeholders. We expect that that we'll be in a position to offer further update on that shortly. During the past 12 months, the National Energy Board has continued to review our October 2014 filing. In a related announcement in late August, we reached an agreement with local gas distribution companies in Eastern Canada Gaz Metro, Enbridge Gas Distribution and Union Gas that resolves their issues with Energy East and the Eastern Mainline Project. The agreement ensures that Energy East and the Eastern Mainline Project will provide gas consumers in Eastern Canada with sufficient natural gas transmission capacity and reduced transmission cost. The Eastern Mainline Project's capital cost is now estimated at C$2 billion, reflecting refinements to scope and routing necessary to complete the project. Moving to Keystone XL, in early October we filed an application with the Nebraska Public Service Commission to seek approval for the Keystone XL routes through that state. We believe that going through the Public Service Commission process is the clearest and quickest path to achieving route certainty for Keystone XL in Nebraska. The proposed route is the route that was evaluated by the Nebraska Department of Environmental Quality and approved by Governor of Nebraska in 2013. Yesterday, we sent the letter to U.S. Secretary of State, John Kerry asking the State Department pause its review of the Presidential Permit application for Keystone XL. We believe that a pause to resolve the Nebraska route gives the best opportunity to achieve overall approval for the project. As of September 30, 2015, we have invested C$2.4 billion in the project and we've capitalized C$400 million of interest. Construction continues on the Houston Lateral pipeline and tank terminal which will extend the Keystone pipeline to Houston and the refineries in that region. The terminal is expected to have initial storage capacity of 700,000 barrels of crude oil. Houston Lateral pipeline and terminal are anticipated to be operational in the second quarter of 2016. Continuing with our liquids business, construction of the Northern Courier project is on schedule. The C$1 billion Northern Courier project consists of a 24-inch bitumen pipeline and a 12 inch diluent pipeline that will run between the Fort Hills Mine and the bitumen extraction facility and Suncor's East Tank Farm. 100% of the pipelines capacity is contracted to the Fort Hills partners under a 25-year agreement. Approximately 30% of the construction has been completed and we're scheduled to be in service in Q2 of 2017. In August, we announced an agreement where the southernmost portion of the 20-inch diluent Grand Rapids Pipeline will become part of the 50-50 joint venture with Keyera Corporation. The 45-kilometer pipeline will extend from Keyera's Edmonton Terminal to TransCanada's Heartland Terminal near Fort Saskatchewan. This strategic partnership with Keyera will give the Alberta oil sands producers access to reliable and cost effective sources of diluent. We expect the total contribution of the joint venture will be approximately C$140 million from Grand Rapids. The expected in-service date is the second half of 2017 subject to regulatory approval. Moving over to energy, where construction started earlier this year, on the 900 megawatt natural gas fired Napanee Generating Station located in Eastern Ontario. It is now 20% complete. The facility will provide clean energy under a 20-year supply contract with the province's Independent Electric System Operator or the IESO. The C$1 billion Napanee project is expected to be operational in late 2017 or early 2018. Also, in energy a few weeks ago we reached an agreement to acquire the 778 megawatt Ironwood power plant in Lebanon, Pennsylvania from Talen Energy for US$654 million. The acquisition presents a very unique opportunity in the current market environment to acquire a quality asset at a reasonable price. The Ironwood deal is a natural extension of our U.S. Northeast Power business, strengthening our overall portfolio and assets in the region. This relatively new and highly efficient gas fired power plant provides us with a solid platform to backstop and grow our already substantial wholesale, commercials and industrial customer base in Pennsylvania, New Jersey and Maryland. On a peak load basis our customer commitments in the PJM market will now largely be matched by the Ironwood plant. The acquisition is expected to be neatly accretive to earnings and cash flow and will generate approximately US$90 million to US$110 million in earnings before interest, taxes, depreciation and amortization annually through a combination of both capacity payments and energy sales. Ironwood complements our U.S. Northeast operations which now total over 4,500 megawatts. The acquisition continues our disciplined approach to growth in this important region where we've been operating on the power side since 1998. The deal will be financed with a combination of cash and debt capacity and the transaction is expected to close in the first quarter of 2016. Finally, in energy, consistent with Ontario's long-term energy plan, Bruce Power has been in discussions with the Ontario IESO for some time to reach an agreement regarding additional investment that would extend the life of this very important facility. We remain optimistic that an agreement can be reached, it will ultimately provide emission-less energy to consumers of Ontario for many decades to come. Before I wrap-up, I wanted to highlight some management changes and corporate restructuring that we've implemented, that was effective October 1, 2015. Earlier this year, we initiated a plan to decentralize many of our operating project and functional support groups placing greater accountability on our business units to determine optimal resourcing requirements for their businesses. Alex Pourbaix was appointed Chief Operating Officer. Don Marchand was appointed Executive Vice-President, Corporate Development and Chief Financial Officer; and Kristine Delkus was appointed Executive Vice-President, Stakeholder Relations and General Counsel. Jim Baggs, Executive Vice-President of Operations and Engineering has announced his intention to retire in early 2016. The restructuring will provide a clear focus on safety management, generating efficiencies in operations, streamlining decision-making and maximizing the value of each business unit. This will result in lower costs for both TransCanada and for our customers. We expect further changes in the fourth quarter 2015 and those changes will continue into 2016. So to conclude, we had another strong quarter that builds on the company's performance over the last nine months, where we saw comparable earnings and fund generated from operations rise 8% and 9% respectively compared to the same period last year. Looking forward, our focus remains on the following, first to maximize the performance of our stable portfolio of the critical energy infrastructure assets. Second, to bring into service C$12 billion of shorter term projects on-time and on budget. That growth combined with our base business cash flows allows us to continue to grow our dividend at 8% to 10% through 2017. Third, we will continue to pursue the organic investment initiatives in our current portfolio and we will advance our C$35 billion of large-scale projects, which will augment and extend our growth well into the next decade. I will now turn the call over to Don for further details on our Q3 financial performance. Don?
Donald R. Marchand - Chief Financial Officer & Executive Vice President: Thanks, Russ, and good morning everyone. As highlighted in our new release, our core asset base continue to perform well in a challenging industry environment in the third quarter with net income attributable to common shares of C$402 million or C$0.57 per share, compared to C$457 million or C$0.64 per share for the same period in 2014. Excluding a C$6 million after tax restructuring charge stemming from our efforts to maximize the effectiveness and efficiency of our existing operations as well as unrealized gains from various risk management activities, comparable earnings in the third quarter of C$440 million or C$0.62 per share were largely in line with the C$450 million or C$0.63 reported in the same period last year. Higher earnings from the Keystone System, Natural Gas Pipelines, and U.S. Power were offset by depressed power prices in Alberta and planned maintenance outages at Bruce Power. In terms of our business segment results at the EBITDA level, the Natural Gas Pipelines business generated comparable EBITDA of C$812 million in the third quarter 2015 compared to C$750 million for the same period last year. Canadian natural gas pipelines comparable EBITDA of C$548 million decreased C$9 million compared to 2014, primarily due to lower earnings on the Canadian Mainline, partially offset by higher earnings in the NGTL System. Canadian Mainline net income decreased C$14 million in the third quarter of 2015 to C$47 million, largely due to a lower achieved ROE of 10.1%, which included C$7 million of after-tax incentive earnings versus 11.5% last year and a smaller investment base. NGTL's net income increased by C$9 million in the third quarter compared to the same period last year, primarily as a result of its growing investment base and OM&A incentive losses realized in 2014. U.S. and International Pipelines comparable EBITDA rose C$88 million to C$276 million in the third quarter 2015, primarily as a result of higher transportation revenue on the ANR System, and the positive impact of a stronger U.S. dollar. Natural Gas Pipelines business development costs have risen for the three and nine months periods in 2015, primarily as a result of increased activity, along with the recovery of expenses from partners in 2014 for 2013 Alaska Gasline Inducement Act costs. In liquids, the Keystone Pipeline System generated C$363 million of comparable EBITDA in the third quarter, an increase of C$88 million from the same period last year. This was a result of higher uncontracted volume throughput and the favorable impact of the stronger U.S. dollar. Business development costs in liquids increased C$14 million year-over-year, as a result of increased activities. Turning to energy, comparable EBITDA declined C$42 million to C$345 million in the third quarter 2015 versus the same period in 2014, due to a combination of factors. Western Power comparable EBITDA decreased C$51 million due to lower realized prices. The Alberta power market continues to be well supplied and with weak economic conditions expected to persist in the near-term, lower demand growth for power is expected to continue to weigh on power prices. Third quarter Bruce Power equity income decreased C$54 million, C$57 million primarily as a result of a higher number of planned outage days, partially offset by lower lease expenses. While operating performance at Bruce B was strong, the extended planned outage on Unit 4 at Bruce A contributed to lower overall results compared to the same period in 2014. The approximate 100-day outage on Unit 4 is nearing completion, bringing the planned major maintenance events at Bruce to an end for the year. Eastern Power continued to generate solid and predictable results with comparable EBTIDA up C$11 million year-over-year due to the incremental earnings and solar facilities acquired in the second half of 2014. U.S. Power comparable EBITDA of C$183 million increased C$55 million in the third quarter compared to the same period in 2014, primarily due to stronger margins, higher sales volumes to wholesale customers and a stronger U.S. dollar, partially offset by lower realized power prices and reduced generation in New England along with softer capacity prices in New York. Now, turning to the other income statement items on slide 22. Comparable interest expense of C$341 million in the third quarter increased C$37 million compared to the same period last year. This was primarily due to interest charges on recent Canadian and U.S. debt issues and higher foreign exchange on interest denominated in U.S. dollars, partially offset by Canadian and U.S. debt maturities and higher capitalized interest. Comparable interest income and other was down C$7 million compared to third quarter 2014, mainly due to higher realized losses on derivatives to manage our net exposure to foreign exchange rate fluctuations on U.S. dollar income and the impact of a strengthening U.S. dollar on translating foreign currency denominated working capital balances. Partially offsetting the higher foreign currency hedging costs was increased AFUDC related to our rate-regulated projects, including Energy East and Mexican pipelines. We saw minimal year-over-year net benefit from the strengthening U.S. dollar in our third quarter due to our hedging activity. As a reminder, our exposure to U.S. dollar income is largely offset with U.S. dollar interest expense and financial derivatives. Going forward, we'll see future results positively impacted from the stronger U.S. dollar as legacy hedges roll off and are reinstated at higher levels. Comparable income tax expense of C$236 million in the third quarter increased C$6 million versus the same period last year, due to higher pre-tax earnings and changes in the proportion of income earned in higher tax jurisdictions, partially offset by lower flow-through taxes in Canadian-regulated pipelines. Net income attributable to non-controlling interests increased C$21 million compared to the same period in 2014, primarily due to the sale of our remaining 30% interests in GTN and Bison to TC PipeLines LP in April 2015 and late 2014, respectively, along with the foreign currency translation impact of U.S. dollar minority interest in the LP. Now moving onto cash flow and investing activities on slide 23. Despite challenging industry conditions, our high-quality asset base continues to generate robust cash flow with funds generated from operations of approximately C$1.1 billion in the quarter and C$3.4 billion year-to-date, which represents 6% and 9% increases year-over-year. Capital spending including projects under development totaled C$1.1 billion in the quarter, driven primarily by NGTL System growth, construction activities on Mexican pipelines, Northern Courier, and Napanee, along with ongoing expansion work at ANR in the Canadian Mainline. Equity investments of approximately C$100 million reflected activities related to the Grand Rapids Pipeline and Bruce Power. Turning next to our liquidity and access to capital markets on slide 24. Our financial position remained strong. At September 30, our consolidated capital structure consisted of 35% common equity, 5% preferred shares, 4% junior subordinated notes and 56% debt net of cash. From a liquidity perspective, we had approximately C$750 million of cash on hand, C$5 billion of committed and undrawn revolving bank lines available with our high quality bank group, as well as two well-supported commercial paper programs. In terms of financing activity in 2015, to-date, we've raised in excess of C$5 billion on compelling terms in order to fund our capital program and refinance scheduled debt maturities. Most recently, we issued C$750 million of 10-year medium-term notes in July at a rate of 3.3% and another C$400 million of long-dated MTNs in October at 4.55% to fund the growing NGTL System rate base. Our diversified asset footprint continues to provide us with significant opportunities to invest capital for our businesses, while our robust internally generated cash flow, access to capital markets and numerous funding levers available will enable us to source attractive funding to the C$12 billion of near-term growth initiatives, that are expected to be placed into service over the next three years. In summary, the company's blue-chip portfolio of critical energy infrastructure assets continues to produce strong results in challenging energy market conditions. For the first nine months of 2015, comparable earnings per share and funds generated from operations were up 8% and 9% respectively compared to the same period in 2014. With solid foundation in the form of a high-quality and diversified suite of assets and C$12 billion of near-term growth projects, we remain committed to increasing the dividend at an annual rate of 8% to 10% through 2017. Our financial strength and flexibility supported by our A grade credit is a distinct competitive advantage in the current environment giving us the confidence to fund our substantial capital program at all points of the economic cycle. We also continue to advance numerous other investment opportunities, including C$35 billion of commercially secured projects. While the timing around these longer-term projects remains subject to certain regulatory processes and final investment decisions by our customers, they are significantly underpinned by long-term contracts, underscoring the need for new infrastructure to connect supply to market. As we await visibility on the timing of our larger scale projects, we are confident that our current asset footprint will allow us to capture incremental investment opportunities that will lead to sustained growth in earnings cash flow and dividends for our shareholders over the remainder of the decade. That's the end of my prepared remarks, I'll now turn the call back over to David for the Q&A.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Don. Just a reminder, before I turn it back over to the conference coordinator, we'll take questions from the financial community first. And once we've completed that, we'll turn it over to the media. With that, I'll turn it back to the conference coordinator.
Operator: Thank you. We will now take questions from the analysts only. The first question is from Paul Lechem from CIBC. Please go ahead.
Paul Lechem - CIBC World Markets, Inc.: Thank you. Good morning. Just a question first on the Mexican gas project, you mentioned that you're reviewing further opportunities there. Can you just discuss what the opportunities are and timeframes?
Karl Johannson - President-Natural Gas Pipelines & Executive VP: Sure, Paul. It's Karl. Right now, the CFE has issued a number of pipelines that they intend to put out an RFP process. TransCanada, right now has one bid in with an RFP, the Tuxpan-Tula project that we are awaiting a final decision on which will come in the next week. And the CFE has about six more projects that they plan to issue for RFPs over the next, I'd say, to the end of first quarter. So, TransCanada's reviewing all those projects and we intend to participate on the ones that fit with our capabilities.
Paul Lechem - CIBC World Markets, Inc.: Thanks. And can you give us a sense of the magnitude of those projects?
Karl Johannson - President-Natural Gas Pipelines & Executive VP: Well, they run the whole spectrum, for example the Tuxpan-Tula is about C$0.5 billion project that we're right now waiting for a decision. All the way up to they're planning an offshore pipeline from really the border of Mexico down into the central part of Mexico, which will be probably in the C$3.5 billion to C$4 billion range. So most of the projects I'll say land between the C$0.5 billion to slightly over a C$1 billion, but there are some larger ones in that portfolio as well.
Paul Lechem - CIBC World Markets, Inc.: Okay. Thanks. And then just maybe a bigger picture question, looking at the Ironwood acquisition and just thinking about your investment plans over the next few years, given that your major projects seems still to be a ways off. Can you just talk about how do you balance the need to conserve capital for potential major projects down the road versus the amount of investments in acquisitions in other areas that are you willing to do in the shorter to mid-term? Can you sort of just discuss those – the thoughts about the potential magnitude of any major investments that you're willing to make?
Russell K. Girling - President, Chief Executive Officer & Director: I think as we've always said, I mean our decisions will be disciplined and they will be based on where we can add shareholder value. With respect to Ironwood is a very unique opportunity in that market region to buy an asset in what was a combination of two companies where certain assets were being sold. So, we had an opportunity to buy an asset that was a perfect fit for our business in the region. So, we moved on it, that's why we have the financial capacity that we have as we retain it for being able to act on those kinds of things. With respect to our capital programs, you're being pushed further out in the future that that does provide us with financial capacity in the short-run. But we'll only allocate our capital to acquisitions that makes sense, so this was a unique one. We don't have a whole bunch of those kinds of things on our drawing board today, but we will be very disciplined in how we allocate our capital, both between developments and acquisitions.
Donald R. Marchand - Chief Financial Officer & Executive Vice President: Yeah, Paul, it's Don here. I'll just add for that. There is two other aspects that we look at here. First is these large-scale projects are extremely well, if not, fully contracted, which gives us a lot of confidence that they would attract capital in virtually all economic conditions. So, we're not necessarily storing capacity today for these projects that in our view are eminently financeable when they go ahead. Secondly, the A credit rating is very important to us and allowing us to access capital in virtually all conditions, and that is a safety net for us as we look at the world unfold here and again are parking capital right now for stuff on the (31:18) that's an important element that gives us confidence that we get the money when it is required.
Paul Lechem - CIBC World Markets, Inc.: Okay. Thanks Don.
Russell K. Girling - President, Chief Executive Officer & Director: Thanks Paul.
Operator: Thank you. The next question is from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan - RBC Capital Markets: Good morning. Just wondering, I guess as you look at some of the financing options that you have in your quiver and specifically TCP and as you talk more about Mexico project financing there to release capital, how do you think about doing that in the current kind of CapEx environment where you're pretty well funded out of FFO and the debt markets, is that something where you might be kind of just leaving that out there for the future? Or in the case of TCP are you committed to continuing the dropdown program?
Donald R. Marchand - Chief Financial Officer & Executive Vice President: Yeah, it's Don here. Good morning, Robert. Yeah, there is no substantive change in our long-term thinking on the dropdown program. We're still on the path within the balance of our U.S. gas pipeline assets into the LP on a systematic basis over the coming years here. So, the LP unit price and our capital needs are always consideration, but again no fundamental change in our thinking there. In terms of other levers we can pull – aside – equity is lowest on the list here, but we continue to be active in the hybrid market. We watch the preferred market here in Canada where we can attract 50% equity credit for issuing those securities as well. We'll explore project financing where we can get that off credit places we would look to would be potentially our LNG pipelines to the West Coast and Mexico would be two primary ones we'd look at. At this point, we're not actively looking at project financing Mexico. We have assets in construction there right now. It's something that I think is a more viable alternative for us once they're in service and there is no construction risk outstanding on them, but again we think we have lots of levers we can pull across the portfolio to source capital on attractive terms and these ebb and flow based on market conditions, but we're pretty comfortable with our ability to fund the program.
Robert Kwan - RBC Capital Markets: Okay. Thanks. And then just on Ravenswood, given application out to mothball some of the smaller units and I think there were some also smaller units that you've already mothballed. I'm just wondering what are the plans there for Ravenswood going forward specifically repowering. And then, is there anything to be concerned about with respect to some of the things you highlighted as to why you want to mothball with respect to the larger units at Ravenswood?
William C. Taylor - Executive Vice President & President, Energy Division: Robert, it's Bill. Yeah. The units that we filed documents with the New York ISO for consideration and mothballing where some of the smaller older machines in the peaking plant portion of Ravenswood. And that portion of the plant was always considered by us when we acquired the facility in 2007 and 2008 that as the first area of the plant that would be – which would reach sort of technical or operational obsolescence and that's sort of what we're running into there. We're cognizant obviously of safety of our personnel and our operations, and those portions of the plant are difficult to keep running. And so we're considering our options there in consultation with the IESO as it relates to their reliability assessments. So I think you could look at it that it will be that portion of the plant where any repowering options would be considered first. And to your question on the other portions of the plant, they are in much better shape in terms of not only their importance to the region but also the operating efficiency and capability to continue operating on the other portions of the plant are not in question.
Robert Kwan - RBC Capital Markets: Okay. That's great. Thanks, Bill. Thanks, Don.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Robert.
Operator: Thank you. The next question is from Linda Ezergailis from TD Securities. Please go ahead. Linda Ezergailis, your line is now open.
Linda Ezergailis - TD Securities: Thank you. I'm wondering about Keystone XL, I'm wondering – I'm assuming if the Department of State grants pause in your application processing, how might we think of an earliest in-service date? And is it reasonable to assume that effectively your capital spending on that project effectively goes to almost zero until that process resumes?
Alexander J. Pourbaix - Executive Vice President & President, Development: Linda, it's Alex. The capital spending is already really at a very low level. All we're really spending is what is required to maintain the equipment and to advance the regulatory processes where we're involved in. So it is at a very low level right now. With respect to timing of in-service, we've always said that the pipeline is going to take about two years, 2.5 years from the time we receive our permits. So you can just do the math from there and nothing's changed in that regard.
Linda Ezergailis - TD Securities: Okay. And then moving on to Energy East, I guess there was some discussion in the Liberal platform about potentially maybe changing how the NEB operates? Have you had any discussions with the Liberal government as to how that might affect Energy East or any of your other projects on the East or the West Coast?
Alexander J. Pourbaix - Executive Vice President & President, Development: No. We have not and I think our perspective on that is we've always followed whatever regulatory processes is in place in any of the jurisdictions we operate. And to the extent that the new government decides to modify the rules or procedures, we're confident we'll be able to manage within those new rules.
Linda Ezergailis - TD Securities: Okay. That's helpful. And I guess while we're talking about various and several governments, maybe can you provide some comment on how your discussions with the Ontario government are proceeding with the Bruce Power life extensions and when that might be concluded?
William C. Taylor - Executive Vice President & President, Energy Division: Linda, it's Bill Taylor. Yes, I can report that the discussions with the IESO and government are continuing. They're progressing well. I can't speculate at this time as to when we will reach a conclusion on that matter. But as I said, I think things are progressing well. It's a complicated set of discussions. I think both parties are obviously being cautious, but you shouldn't take the long time that it's taking to conclude those discussions as any indication that the opportunity is in jeopardy. It's quite the contrary.
Linda Ezergailis - TD Securities: Okay. That's helpful. Thank you.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Linda.
Operator: Thank you. The next question is from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: Thank you. Good morning. I guess the question is for Russ, and if we look over the last few years, we saw a pretty big divergence in multiples that the market was rewarding to high pad vehicles and in particularly the MLPs in the U.S. and more conventional C-Corps. And that's changed a lot in the last few months and we're seeing the Targa deal this morning that got announced. So just how do you look at the U.S. landscape, potential M&A opportunities that may exist and really that valuation divide that became very exaggerated in the last few years (39:49) back-end.
Russell K. Girling - President, Chief Executive Officer & Director: Well, I think, we've had a pretty focused strategy on building our cash flow, earnings and dividends. I think we've done a good of job of that as we said, we plan to continue to grow our dividend over the foreseeable future. What we've seen with the fall in oil prices primarily, but liquid prices in general across the U.S. MLP space, there has been some rebasing of what those assets are worth. We'll continue to look at those businesses but I think as we've said before, we haven't been focused on mid-stream assets that come with commodity exposure. We've been in those businesses before. They haven't been terribly successful for our company and then we look at our organic growth and growth opportunities that are emanating from our core businesses in gas across the Western Sedimentary Basin, in Marcellus, into Mexico on the power side, our renewables portfolio, things like Bruce Power, our ability to build projects like that. We knew that the whole migration from coal-fired power to gas fired power is going to present significant new opportunities from Alberta right through North America. And when we look at the oil side, I mean it's half our business at the current time, but we continue to see lateral and other opportunities emanating from those businesses in the short run. So we have a lot of opportunity that we're pursuing that's near-term and it's tangible, and as you saw with something like the Ironwood acquisition, if we see good opportunities to acquire that fit our portfolio that are reasonably priced, we'll pursue those. We think that those add shareholder value. To the extent that things are priced at the upper-end of the spectrum and we don't see a way that we can add shareholder value by acquiring those assets, we've tended not to go after them, whether they be fully contracted asset or merchant assets, and there's still valuations that are very high out there that cause us to be very cautious about allocating our capital in that direction. Does that answer your question?
Andrew Kuske - Credit Suisse Securities (Canada), Inc: No, that's very helpful. And then just specifically on Ironwood.
Russell K. Girling - President, Chief Executive Officer & Director: Yes.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: Do you see opportunities to deploy more capital either at that facility or really around it to really enhance the network of assets?
William C. Taylor - Executive Vice President & President, Energy Division: This is Bill Taylor, Andrew. That would be an opportunity, but I would say that that would be longer term. There is some limited available space with the acquisition. We haven't assessed that in any detail and that wouldn't be something that you could expect in the immediate future, but there certainly is some optionality in that regard with that location. And it's very well situated from a gas and power – sorry, a gas supply point of view and a power injection point of view in PJM.
Andrew Kuske - Credit Suisse Securities (Canada), Inc: Okay, very helpful. Thank you.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Andrew.
Operator: Thank you. The next question is from Matthew Akman from Scotiabank. Please go ahead.
Matthew Akman - Scotia Capital, Inc. (Broker): Hey, guys. Good morning.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Good morning, Matthew.
Matthew Akman - Scotia Capital, Inc. (Broker): A couple of questions on Keystone. The results were quite strong in the quarter. I'm just wondering if you could characterize a little bit the dynamic on Keystone shipping and tolling and what's driving the strong results and I guess your outlook for the next year given I guess on the one hand lower oil price but on the other hand scarcity of pipeline capacity?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Matthew, it's Paul Miller here. We had a good third quarter. Much of our capacity is locked down by long-term contracts, but we do have spare capacity that we offer to the marketplace on a un-contracted or spot basis. And we had a number of events in the past quarter where we had some Midwest refineries go down. We had other events which caused the differentials to increase. And a lot of crude is on its way to the marketplace and Keystone capacity was available. So we were able to move probably upwards of 30,000 barrels or 40,000 barrels per day of spot on average over the last quarter taking advantage of these good market opportunities. Our spot rate is filed with the regulators and we do adjust our spot rate as the market conditions do change and we were able to take advantage of that over the quarter. Going forward, again, with the resiliency of our business largely contracted across the board, we'd not anticipate a material change in our performance, although the spot opportunities are going to be really a function of market demand and the differentials that are out there.
Matthew Akman - Scotia Capital, Inc. (Broker): Thanks, Paul, for those answers. That's clear. Can I ask a follow-up on Keystone? I guess this relates to the XL piece? If the State Department grants your request, can you guys sort of shift around some of the physical pipes that you've acquired for that project and then maybe shift some back later when the timing comes for XL, assuming it does get permitted?
Alexander J. Pourbaix - Executive Vice President & President, Development: Hey, Matthew. It's Alex. Yes, and to some degree we've already been doing that and to the extent that we have projects that can make use of that pipe, we're taking advantage of that.
Matthew Akman - Scotia Capital, Inc. (Broker): Okay. Thanks, guys. Those are my questions.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Matthew.
Operator: Thank you. The next question is from Robert Catellier from GMP Securities. Please go ahead.
Robert Catellier - GMP Securities LP: Hi. Good morning. I just have a couple questions on Energy East. First can you update the status in terms of finding an alternative port in Québec?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Sure. It's Paul Miller here, Robert. We continue to look at options around the terminal facilities for Energy East and we're very close to reaching a decision here and we'd anticipate making an announcement here very shortly.
Robert Catellier - GMP Securities LP: Okay. And then can you just confirm whether the LDC agreement has been finalized or not? And what the gating factors might be to submitting that NEB application?
Paul Miller - Executive Vice President & President, Liquids Pipelines: I'm sorry, I didn't catch the second half of that question.
Robert Catellier - GMP Securities LP: Yes. Just the gating factors with respect to submitting the revised NEB application?
Alexander J. Pourbaix - Executive Vice President & President, Development: That's for Energy East.
Robert Catellier - GMP Securities LP: Yes, Energy East again.
Paul Miller - Executive Vice President & President, Liquids Pipelines: So, is your question revolving around the NEB application for Energy East?
Robert Catellier - GMP Securities LP: Yes. So there is two parts. One I want to know if you've in fact finalized the LDC agreement? And second, what work is left before you can submit the revised application on Energy East?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Okay. Well, I'll take the latter half of the question. So we continue to do some routing analysis as well as some consultation around potential alternative marine facilities and pipeline routing. We anticipate that that work would be complete and we'd be in a position to file an amendment with the NEB by year-end.
Karl Johannson - President-Natural Gas Pipelines & Executive VP: And it's Karl. I can address the LDC settlement on Energy East. It is finalized now. The long-form agreement has actually been signed by all parties and my suspicion – it was signed late last week, so my suspicion is it will make its way to the NEB shortly.
Robert Catellier - GMP Securities LP: Okay. Thank you.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Robert.
Robert Catellier - GMP Securities LP: Thank you.
Operator: The next question is from Rob Hope from Macquarie. Please go ahead.
Robert Hope - Macquarie Capital Markets Canada Ltd.: Yes. Thank you and good afternoon, everyone. Just a question on the U.S. Power similar to your Keystone results. You had fairly strong results from your U.S. Power operations. I'm just trying to get a sense of for the outperformance, how much was related to being able to purchase advantageous power in the market versus a general expanding of your marketing book in PJM and other regions?
William C. Taylor - Executive Vice President & President, Energy Division: Rob, it's Bill. Well, our results in the U.S. it's kind of a mixed bag I guess I would say. We have had some challenges with capacity price, as was noted in our release, that were a drag. But on the positive side, our marketing business has performed exceptionally well for us this year and while we're expecting some continued growth and particularly we're hopeful that we will have continued growth in the PJM region going forward, as a result of the Ironwood acquisition, I think you can expect that our marketing results would retract a little bit going forward in 2016. We had a pretty exceptional year in the current year and some of that's showing up in this quarter.
Robert Hope - Macquarie Capital Markets Canada Ltd.: All right. That's very helpful. And maybe just shifting gears, one last question on Energy East. In terms of your discussions with shippers, are any shippers looking to potentially defer the timeline beyond 2020?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Hi, Rob, it's Paul Miller here. No, they are not. The 2020 is our current schedule and the shippers remain supportive of Energy East as we navigate this alternative terminal design configuration. And at this point, we continue to march towards that 2020 timeline.
Robert Hope - Macquarie Capital Markets Canada Ltd.: Thank you.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Rob.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy. Please go ahead.
Steven I. Paget - FirstEnergy Capital Corp.: Good morning, and thank you. When looking at corporate restructuring, how do you look at the efficiency of TransCanada to determine when and if restructuring is needed?
Russell K. Girling - President, Chief Executive Officer & Director: I think as all businesses evolve, Steven, and they grow, you have to continually look at how you do business and determine whether or not that's a solid enough platform to move forward. We built all of our businesses substantially over the last, say, 10 years. We've been focused primarily on growing those businesses, and as you put them together and you acquire things and you add new things in, you bandaid together business processes. I think one of the best examples that I would give you is with respect to the project we undertook last year on redesigning our underlying IS systems we had put together a group of systems that we called best-of-breed. We attached them together with Excel spreadsheets and those kinds of things. And a lot of the vendors that supply those systems to us were sort of coming to the end of their ability to continue to support them. So we moved ourselves to an SAP platform, which gave us greater efficiencies, consolidated the number of systems that we had outstanding, had them talking better to each other. And I think that that's analogous to the rest of the business and the business processes, and the way that the decisions are made in the organization. So as we look at where we want to go over the next 10 years, there's going to be substantial growth and that we need to have more efficient processes put together that could better relate to the businesses we are today. So I mean it's an evolutionary thing. There's no "ah-ha" moment that you'd say – this is the time. But as things have evolved here, we've determined that this is the time to move to greater accountability within the business units. They've become large operating units by themselves. If you look at the size of any one of those businesses, they're large sort of mid-cap to large-cap companies on a standalone basis. They need to have their own processes of making decisions and streamlining such that they can deliver the best bottom line results possible. So that's the direction that we've moved to recently. And I would say that so far what we've seen in terms of the systems that we've changed, processes that we've changed has streamlined things, they've made things more efficient and better quality decisions are coming from them, and that's the primary focus of what we're trying to do. An obvious benefit to both our company, our shareholders but as well our customers is with greater efficiency is lower costs and we'll be able to pass some of that through to both our shareholders and to our customers. We're still getting into the details of how big those numbers will be and we'll share those with both our customers and shareholders in the coming weeks and months.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you, Russ, for that detail. Alex, if I may direct a question to you. You're back and filling the COO role, a role that hasn't been at TransCanada for a little while, and what are your goals in your first year in the chair?
Alexander J. Pourbaix - Executive Vice President & President, Development: Interesting question. And I might kind of build off of a number of the comments that Russ just talked about, but these businesses are getting very large and they take a significant amount of oversight and I think certainly from my perspective, what I hope to be able to do is work with the respective presidents. I think my primary focus is to ensure that this reorganization that we're in the middle of that it gets completed as expediently as possible and that the end result is that we are a more efficient organization, a more profitable organization and we deliver better and cheaper service at the same quality to our customers. So I think that's going to be a real focus over the next year. I think another thing we're sort of hoping of doing this is that at least certainly a hope that I have is that by doing this, we should be able to free up a little bit more of our CEO's time to focus on some of the big strategic issues that are pressing on the organization.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you, Alex, and those are my questions.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks, Steven.
Operator: Thank you. The next question is from Ben Pham from BMO Capital Markets. Please go ahead.
Benjamin Pham - BMO Capital Markets (Canada): Okay. Thanks and good morning. Just wanted to go back to Ironwood and just looking at the U.S. Power business year-to-date with the pricing condition. I mean doesn't that concern you with respect to some of your modeling assumptions for Ironwood going forward. I'm not sure you highlighted the capacity payment portion or not?
William C. Taylor - Executive Vice President & President, Energy Division: Yes. Well, I guess a couple comments I'd make, it's Bill. On the Ironwood projections going forward that we released when we released the information on the acquisition, I mean one thing I would highlight is that it may not have been obvious is that there is a fair operating synergy that we see with the acquisition. We've got other plants in the region. We've got a strong complement of staff. And so we think that there's some opportunity there to improve our operating efficiency with that facility versus the cost that we've seen historically spent at it. So that's one thing. The overall market circumstance in PJM is we think quite favorable. There's a retirement potential or conversion potential with a lot of the coal facilities that are coming under increased pressure with low-gas prices and higher compliance costs that they are facing. So this is going to drive some transformational change in that market. And we think Ironwood is well positioned not only in respect of that, but also relative to supporting our ongoing and we've been an operator in PJM for some time without an asset in our marketing and trading business. So we're pretty comfortable. We understand that market well and are confident that we'll be delivering good results from that facility.
Benjamin Pham - BMO Capital Markets (Canada): Okay. Thanks for that. And if I may just a question on the Bruce refurb negotiations and I'm just wondering if you can comment on some of the big picture discussion points that need to resolve to get those bookings closed in? And I'm also curious how dependent is the timing on an updated long-term energy plan in Ontario?
William C. Taylor - Executive Vice President & President, Energy Division: I'll start with the latter half of your question. The basis of the negotiations that are being led by Bruce Power are really driven by the late 2013 Long-Term Energy Plan. Any possible update that the government or the IESO may be doing in regards to their Long-Term Energy Plan, we can't speculate on what that would be, but we remain confident that the nuclear element in Ontario is an extremely important part of their long-term plan as they continue to transform their power mix to an emission less – or a GHG emission-free power portfolio. So we're confident that that will continue. As for the specifics of the negotiations, I won't comment on that. As I said Bruce Power is actively in the midst to that and we remain optimistic that there will be a positive outcome in that regard. But just hang tough on that.
Benjamin Pham - BMO Capital Markets (Canada): Okay. Got it. Thanks for taking my questions.
William C. Taylor - Executive Vice President & President, Energy Division: Thanks, Ben.
Operator: Thank you. We have a follow-up from Steven Paget from FirstEnergy. Please go ahead.
Steven I. Paget - FirstEnergy Capital Corp.: Thank you. One more question, if I might, on Grand Rapids. What's the status of the larger line, the 42-inch line? Will the start of construction on the bigger pipe weighed on higher volumes? Where is it going ahead given the diluent deal with Keyera?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Hi, Steven. It's Paul Miller here. So, as you know, Grand Rapids is a dual pipeline system and it's a 20-inch and a 36-inch. And we are under construction proceeding with the smaller 20-inch line for initial service in crude oil late 2016, and expecting the 20-inch to be running at near capacity. So we're going to stage the 36-inch, bringing it into service to meet increases in the market demand. For the transportation, the Keyera deal doesn't really impact the 36-inch crude line. Keyera deal revolves around the 20-inch diluent line in between Heartland and Edmonton. And we're proceeding with the construction of that as well, having entered into joint venture to provide that extra diluent supply to the Grand Rapid shippers.
Steven I. Paget - FirstEnergy Capital Corp.: Well, thank you, Paul. I guess that it's for me.
Paul Miller - Executive Vice President & President, Liquids Pipelines: You're welcome, Steven.
Operator: Thank you. There are – my apologies, we have a question from Rob Hope, from Macquarie. Please go ahead. Rob Hope, your line is now open.
Robert Hope - Macquarie Capital Markets Canada Ltd.: Sorry about that. Just a quick follow-up on Steven question. Can you remind us the breakdown between that C$1.5 billion cost for the 20-inch line and the 42-inch line? And when your internal projections has a larger line entering service?
Paul Miller - Executive Vice President & President, Liquids Pipelines: Certainly, Rob, it's Paul Miller here. So, the total cost to the dual system is approximately C$3 billion and that's the 100% in TransCanada shares, one-half of that of the C$1.5 billion. But I'll speak to in regard to the 100% interest. So the line is – (1:01:10) is approximately equal with the 20-inch line being slightly less than C$1.5 billion and the 36-inch line being slightly above $1.5 billion. We are targeting the 20-inch line to be in initial crude oil service here by late 2016, and then the 36-inch line into 2017.
Robert Hope - Macquarie Capital Markets Canada Ltd.: All right. Thank you.
Paul Miller - Executive Vice President & President, Liquids Pipelines: You're welcome.
Operator: Thank you.
Paul Miller - Executive Vice President & President, Liquids Pipelines: Thanks, Rob.
Operator: There are no further questions from analysts at this time. If you are part of the media and would like to ask a question The first question is from Ashok Dutta from Platts. Please go ahead. Ashok Dutta, your line is now open.
Ashok Dutta - Platts, Inc.: Hello.
Operator: Yes.
Ashok Dutta - Platts, Inc.: Hi.
Russell K. Girling - President, Chief Executive Officer & Director: Hello.
Ashok Dutta - Platts, Inc.: Yeah. Hi. Sorry. Just had two quick questions. When are you expecting to hear from Secretary State on the letter that was sent yesterday please?
Russell K. Girling - President, Chief Executive Officer & Director: Don't – we don't have a timeframe.
Ashok Dutta - Platts, Inc.: Okay. And the second question is, with the new liberal government, Russ, how have things changed for companies like you which are planning to build new pipelines? Would you see a realignment of focus? Would you see a new kind of – I don't know – I mean just wanted to see the crystal ball from your side?
Russell K. Girling - President, Chief Executive Officer & Director: I wouldn't expect any major changes. The resource industry in Canada, specifically the oil and gas industry in Canada is extremely important to province of Alberta, but probably more importantly to our country. And that developing market access for those resources, whether they be crude oil or natural gas are a critical component of maximizing the value of those resources for all Canadians. So, I believe that at the strategic level that we're going to continue to pursue market access as we've done historically. We've been at this for the last 60 years and I fully expect that we will be at it for the next 60 years. Demand still continues to grow. Supply is abundant and the need for efficient, modern, and safe transportation remains critical. So, I don't think that changes of governments change that, it hasn't in the past, and I wouldn't expect that it does in the future.
Ashok Dutta - Platts, Inc.: Okay, thanks.
Operator: Thank you. The next question is from Nia Williams from Reuters. Please go ahead.
Nia Williams - Thomson Reuters Corp.: Hi. I wanted to ask if with the pause in the KXL review, will you be redoubling efforts in putting more resources into Energy East?
Russell K. Girling - President, Chief Executive Officer & Director: No. There's no – these – both of these projects are extremely important to our shippers. And we'll put the appropriate amount of resources to move them both to regulatory approval.
Nia Williams - Thomson Reuters Corp.: And as a quick follow-up. Does asking for pause in KXL show that you were expecting Obama to refuse the projects?
Russell K. Girling - President, Chief Executive Officer & Director: No.
Nia Williams - Thomson Reuters Corp.: Okay. Thank you.
Operator: Thank you. The next question is from Rebecca Penty from Bloomberg News. Please go ahead.
Rebecca Penty - Bloomberg LP: Hi. Thanks for taking my questions. I actually have two related to Keystone XL. Russ, I'm hoping you can elaborate on your point earlier in the call, you mentioned that a pause would help TransCanada win overall approval for the pipeline? And I'm hoping you can spell out exactly what you mean about how having a pause in the State Department review helps? Secondly, I'm just wondering there's been some discussion where I'm about the idea that if TransCanada had a rejection that the company would have to write off some of its investment in Keystone XL and if you guys are successful in getting approval through this pause that you could avoid that, and I'm wondering if you could just speak to that issue?
Russell K. Girling - President, Chief Executive Officer & Director: On the first question, just remind me the first question as I listened to the second part of your question...
Rebecca Penty - Bloomberg LP: Sure. Sorry. I'm a little longwinded. I was just wondering if you can elaborate on how exactly putting a pause on the project helps you win overall approval?
Russell K. Girling - President, Chief Executive Officer & Director: All right. Is the – the process in Nebraska will take some time, we know that it will take some time. That's at the federal level, there is not much left to be done, the Final Environmental Impact Statement was complete, but we do recognize that potential route changes in Nebraska and the approval process there may change things going forward. So our view is as it's been in the past, we've been through this process before sort of upon our filing with the Nebraska Public Service Commission. We believe that they're the right thing to do at the current time is let us get through that process to determine what changes may come – may arise out of that process? And then ensure that those changes are best incorporated into the final decision by the Department of State. So it's that simple – sort of it just makes sense at the current time to allow that regulatory process to unfold. On the second part of your question. This project remains very much in demand by our customers, the production in the Western Sedimentary Basin has grown quite substantially. It's probably up a 1.5 million barrels since we made our applications, somewhere between 1 million barrels and 1.5 million barrels, a lot of those barrels are now moving via rail. A lot of them are still moving to the Gulf Coast. The Gulf Coast is still importing some 4 million barrels a day, 2.5 million barrels of those are heavy oil barrels, it's logical to connect. They're the large, lot of them U.S. multinational players, but most of them having refining interest in the Gulf Coast are aligning their large investments that they've made in Canadian oilsands and their production with their refining capacity in the Gulf Coast and that hasn't changed at all. So with respect to your second question, we've indicated how much we've spent on the project to-date, but our strategy is still on gaining approval and delivering on the demand that those customers have to get this critical infrastructure built and efficiently and safely move their product to market.
Rebecca Penty - Bloomberg LP: Thank you.
Operator: Thank you. The next question is from Daniel Wallach from the Beaumont Texas Enterprise Newspaper. Please go ahead.
Dan Wallach - Beaumont Enterprise: Hello. I was wondering whether you had any contingency plan to reroute around Nebraska so you might gain approval from the State Department, and ultimately from a U.S. President, whether it's this one or the next one? And how much more delivery can be made to the Gulf Coast terminal that already exists in Nederland, Texas?
Russell K. Girling - President, Chief Executive Officer & Director: I'm not sure if I understand the second part of the question but I'll try the first, maybe Paul might be able to help me out with the second one. But just to remind you, on the first part of the question again, the route through Nebraska is – we've looked at several routes for this project through the various iterations of environmental review that have taken place both in Nebraska and the State Department level. The route that we've currently chosen is one that was selected after consultation with the Nebraska Department of Environmental Quality and several meetings with landowners and open houses that we conducted with stakeholders along that route. That route was subsequently approved by the Governor of Nebraska, so we think it's a sound route that makes sense so that's the route that we think has the greatest potential of achieving approval by the Public Facilities Commission in Nebraska. The Final Environmental Impact Statement from the Department of State had indicated that the route would have minimal impact on the environment. And again, from a landowner perspective, we've been able to negotiate a large percentage of voluntary easements along that route. I believe that we're in excess of 90% today for easements along that route in Nebraska. We have a minority of landowners that are outstanding and we would expect that as we go through this process we would be able to obtain a higher level of voluntary easement agreements with the landowners along that route. So, that's our current process and that process takes time which is the rationale for your pause in the process to let us get our work done and work with the stakeholders in Nebraska to come to a mutually agreeable route through the state. On the second one I mean, I'll pass that one to Paul.
Paul Miller - Executive Vice President & President, Liquids Pipelines: Hi, Daniel, it's Paul Miller here. Keystone itself is a 830,000 barrel per day pipeline and we have set aside 100,000 barrels per day to pick up U.S. produced crude out of the Williston basin in the Montana North Dakota area, which leaves about 700,000 barrels per day of capacity originating out of Canada, but those origination points will vary depending on the receipt (1:12:03) demand, but ultimately it would have the capacity to move the entire 830,000 barrels per day down to the U.S. Gulf Coast again with the origination point being split between Canada and the United States producer.
Dan Wallach - Beaumont Enterprise: Okay. What if the State Department doesn't grant the pause?
Russell K. Girling - President, Chief Executive Officer & Director: I think that that's speculative at this point in time and again I just reiterate that the demand for the pipeline doesn't dissipate with a negative decision. The need to move this crude oil safely between supply location and market location doesn't go away. What we've seen is in the delay process, we've just seen those producers find alternative means of getting their production to markets and those means have been, I would say, it'll impose no greater environmental risk, impose greater safety risk on the public. And at the end of the day, it makes sense to replace that inefficient and more costly and potentially more harmful transportation with a safe modern pipeline.
Dan Wallach - Beaumont Enterprise: Okay. Thank you very much.
Operator: Thank you. The next question is from Rob Gillies from The Associated Press. Please go ahead.
Rob Gillies - The Associated Press, Inc.: Hi Russ. There was wide expectation that Obama would reject the pipeline. Does that not play in as a factor for delaying, asking for a pause in this and then hoping for a Republican administration potentially to approve it?
Russell K. Girling - President, Chief Executive Officer & Director: As we've said many times, we've tried to stay out of the politics of this situation and focus on the things that we were capable of doing and can control, that's the regulatory process. We've worked very hard for seven years to try to keep our head down and work our way through every twist and turn and every additional request through the regulatory process and we are intent on continuing to do that until we get the regulatory approval and we've solved people's issues through that process. So there is things we can control, there is things we can't control and obviously, we're focused on those that we can.
Rob Gillies - The Associated Press, Inc.: But that's a political reality that you have to manage and this result, this request last night certainly is a way of managing that political reality, right?
Russell K. Girling - President, Chief Executive Officer & Director: Again, our focus is not on getting involved in politics at all. We have a regulatory process in Nebraska that's going to take us time to prosecute and we need the time to make that happen. So we've requested that time.
Rob Gillies - The Associated Press, Inc.: And just one more. The fact that prices for oil are so low, you're saying that the pipeline still remains viable, right?
Russell K. Girling - President, Chief Executive Officer & Director: Absolutely, what we know is that oil prices won't stay low forever, but even if you think of when we made this application in 2008, the price of oil was C$40 a barrel, the price of oil is C$40 a barrel again today. We've been through the market volatility, of it being well over C$100 a barrel and then back to C$40 a barrel. So that will – and I've been at this business for 30 years and I've seen that cycle a number of times and I'm sure that I'll see that cycle a number of times going forward. That said, this production has grown in Canada since we made that application well over million barrels a day. Growth in the Bakken Region of the United States has grown by a couple of million barrels a day. I fully expect that those will continue into the future. If you look at Canada even at the low oil prices with the investment that has been committed to, we'd see another 500,000 barrels a day of production growth between now and the end of the decade. All of that volume has to move to market and to date what we've seen is a huge increase in both loading capacity and railcar movement in order to move that product to market. So, it's not like we're waiting for new production to come on to fill these pipelines, the production already exists. It'll just be shifted from less efficient means of transportation to this pipeline. So, it is cheaper and it's more efficient, it's safer, has less greenhouse gas emissions, and so everybody is focused on making that happen irrespective of the current low price environment that we have.
Rob Gillies - The Associated Press, Inc.: Thanks, Russ.
Operator: Thank you. The next question is from (1:17:02). Please go ahead.
Unknown Speaker: Hi, and thanks for taking questions. Have you asked for a meeting with the new government regarding the process in the NEB and Energy East?
Russell K. Girling - President, Chief Executive Officer & Director: Not at this time, as we would wait till the new government is in place, and (1:17:24) are aligned and we would then work to try to ensure that those folks understood our projects, and our plan will be to work with them in whatever way was necessary to help them do their jobs in the future. So that will take place in the coming weeks and months.
Unknown Speaker: Okay. Is that to do – promise to modify some practices of the NEB, could that be more of a longer delay than 2020 for you guys? And if there are changes, could it drive cost up more than $12 billion for energy?
Russell K. Girling - President, Chief Executive Officer & Director: I don't know the answer to those questions today, but as Alex pointed out earlier in the call and I've been at this for 30 years and we've seen many changes in the regulatory process over that period of time. The company has always complied with those and found a way to meet. Here what we see is an ever changing and more stringent standard for work that we do. We're actually leaders in trying to make that happen. We work with the National Energy Board to try to constantly improve the standards, and I suspect that if we go through another iteration of review, that would be positive in that it'll raise the bar, and we'll have to work through that process. No question, these things cost more money going forward, but at the end of the day, if the result is a safer, more reliable set of infrastructure then that makes sense for us.
Unknown Speaker: Okay. So, you're not bothered at all by any changes that could apply to the NEB process in the near-term?
Russell K. Girling - President, Chief Executive Officer & Director: We'll work through all those processes with both the National Energy Board and the government as they arise.
Unknown Speaker: Okay. Thank you.
Operator: Thank you. The next question is from Geoffrey Morgan from The Financial Post. Please go ahead.
Geoffrey Morgan - The Financial Post: Good morning. Thank you for taking my questions. First of all, I wanted to ask, whether or not you've received any advice on how long the new regulatory application in Nebraska could take and could last and whether or not it could last longer than through 2016?
Russell K. Girling - President, Chief Executive Officer & Director: My understanding and I'll ask, Alex to jump in, if I'm uncorrect here. My understanding is that the stated timeframe by the commission is seven months, but it can take up to 12 months.
Alexander J. Pourbaix - Executive Vice President & President, Development: Yeah. I think that's correct.
Geoffrey Morgan - The Financial Post: Excellent. Thank you. Second question is on Energy East, I wanted to ask for your reaction to the meeting recently between Premiers Notley and Premiers Gallant in Edmonton about the Energy East pipeline. Both Premiers restating their support?
Russell K. Girling - President, Chief Executive Officer & Director: Well, I think it's obviously a very important project for both provinces and for Canada. So, that's very encouraging to see the leadership of those provinces stating their confidence and reiterating the importance for both their jurisdictions. I think that's positive for a project that is, as I said, I think very critical to our nation and it's going to require that kind of political vision to bring it to fruition.
Geoffrey Morgan - The Financial Post: Thank you.
Operator: Thank you. The next question is from Kelly Cryderman from The Globe & Mail. Please go ahead.
Kelly Cryderman - The Globe & Mail, Inc.: Hi, there. I'm just wondering how you avoid the decision to write to the State Department and ask for a delay in the process. How you avoid that being a political matter, just because the Nebraska process does not require you to ask the State Department to put a pause on the process, as it proceeds? How do you respond to critics who say this is just kicking the can down the street to hopefully an administration that's more favorable to the project?
Russell K. Girling - President, Chief Executive Officer & Director: Well, I think if you look through the Department of State process in which they move from final investment or final environmental assessment to the next stages in the process, it doesn't make sense to move through those next stages in the process until you finish the routing and environmental review, is our view. And again, that will be up to the State Department to determine at the end of the day. But it's our view that the State Department process should not continue at the current time on its current path, if there's new information is going to be provided from a review in Nebraska. I mean that's the way that it has been managed to-date and the way that we are expecting it's going to be managed in the future.
Kelly Cryderman - The Globe & Mail, Inc.: Thank you.
Operator: Thank you. The next...
David Moneta - Vice-President, Investor Relations and Corporate Communications: Thanks. Sorry if I could just interject Sebastian our conference coordinator, as we very much appreciate everyone's interest in the company, obviously as we are approaching 10:30 we got time for one more question.
Operator: Thank you. The last question will be from Lauren Krugel from The Canadian Press. Please go ahead.
Lauren Krugel - The Canadian Press: Hi, there. I looked at a new liberal government in Ottawa. I'm just wondering if there's anything you can see Justin Trudeau and his team doing differently that the previous government didn't do that would help along the case for Keystone XL, any clarity there would be helpful?
Russell K. Girling - President, Chief Executive Officer & Director: Again is that they will – once they are sworn in as the government, we will start to see what their policy and strategic platforms are, and we'll be able to make those assessments at that point in time. Our current plan as I said is on both sides of the border is to continue to try to work through our regulatory processes. To the extent that changes in government have an impact on those, we'll work through those with those governments when they occur.
Lauren Krugel - The Canadian Press: Okay. Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn it back over to Mr. Moneta.
David Moneta - Vice-President, Investor Relations and Corporate Communications: Okay. Thanks very much, and thanks to all of you for participating today. We obviously very much appreciate your interest in TransCanada. To the extent you do have further questions, Lee and I will certainly be available on the Investor side and James Miller and his team are available from a Media Relations perspective. Thanks again. And we look forward to speaking to you soon.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. We thank you for your participation.